Operator: Welcome to Clearwater Paper Corporation's First Quarter 2017 Earnings Conference Call. As a reminder, this call is being recorded today, April 20, 2017. I would now like to turn the conference over to Ms. Robin Yim, Vice President, Investor Relations of Clearwater Paper. Please go ahead.
Robin Yim: Thank you, Liz. Good afternoon and thank you for joining Clearwater Paper's first quarter and 2017 earnings conference call. Joining me on the call today are Linda Massman, President and Chief Executive Officer and John Hertz, Chief Financial Officer. Financial results for the first quarter were released shortly after today's market close. You will find a presentation of supplemental information including an updated outlook slides providing the Company’s current expectations, and estimates at the certain cost, cost pricing mix, shipment, production and other factors for the second quarter of 2017, posted on the Investor Relations page of our website at clearwaterpaper.com. Additionally, we will be providing certain non-GAAP information in this afternoon's discussion. A reconciliation of the non-GAAP information to comparable GAAP information is included in the press release or in the supplemental material provided on our website. I would like to remind you that this presentation contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 as amended. These forward-looking statements are based on current expectations, estimates, assumptions, and projections that are subject to change, and actual results may differ materially from the forward-looking statements. Factors that could cause actual results to differ materially include those risks and uncertainties described from time to time in our filings with the Securities and Exchange Commission, including our Form 10-K for the year-ended December 31, 2016. Any forward-looking statements are made only as of this date, and the Company assumes no obligation to update any forward-looking statements based on new developments or changes in the Company's expectation. John Hertz will begin today's call with a review of the financial results for the first quarter, and then Massman will provide an overview of the business environment and our outlook for the second quarter of 2017, and then we will open up the call for the question-and-answer session. Now, I'll turn the call over to John.
John Hertz: Thank you, Robin. We continue to make great progress on our strategic initiatives in the first quarter. The continuous digester is on track with the scheduled start in early Q4. We are now live on warehouse automation in Shelby, Las Vegas and Lewiston, with Elwood on track to go live in the third quarter. Operations results came in within our Q1 guidance ranges with top line metrics at the high end and bottom line metrics towards the low end, and I’ll discuss our operating results in greater detail in my prepared remarks. Before I get to our first quarter 2017 results, I would like to preface my comments by stating that throughout the rest of my remarks, I will be distinguishing between GAAP and non-GAAP or adjusted results. The adjusted results excludes certain charges and benefits that we believe are not indicative of our core operating performance, reconciliation from GAAP to adjusted results is provided in our press release and supplemental materials posted on our website. The first quarter of 2017 those adjusted EBITDA item netted to $1 million pretax and includes $2 million charge associated with the announced closure of our Oklahoma City converting site and $500,000 in residual cost from the closed Long Island, New York facility, all which was partially offset by a benefit of $1.5 million from the mark-to-market adjustments to our outstanding directors' common stock units. For adjusted operating income, items netted to $5 million free tax which includes a $6 million charge for the closure of Oklahoma City consisting of the $2 million mentioned above plus $4 million of accelerated depreciation. So with that, let's get to our results. Our first quarter net sales came in at $438 million, up 2.8% versus the fourth quarter that it at the high end of our outlook range of up 1% to 3%. Paperboard shipment volumes including Manchester industries were up 5.5% versus Q4 and average price per ton was up 77 basis points to $927 per ton. Retail tissue shipment volumes were up 1.3% and average price per ton was up 54 basis points. Those the increases were partially offset by a 13.1% decline in non-retail tissue shipments resulting from the previously announced shutdown of two higher cost paper machines at our Neenah, Wisconsin mill. Versus Q1 2016, net sales were essentially flat. First quarter adjusted gross profit $57 million or a 13% margin, decreased 120 basis points from the fourth quarter. Planned production curtailments in December drove higher inventory cost that flow through our January P&L as well as unplanned outages in Las Vegas and Shelby that led to higher transportation cost to position inventory. Additionally, we saw cost rise due to higher seasonally natural gas usage, higher wood fiber cost in Idaho due to higher demand and cost associated with accelerating implementation of advanced supply chain for any processes and tools. Adjusted SG&A expense was $31 million or 7.1% of first quarter net sales, which is flat versus Q4 '16. Adjusted corporate expense was $14 million of the SG&A spend in the first quarter and flat versus Q4 '16. Operating income of $25 million or 5.8% of net sales came in at the low end of our outlook range of $25 million to $32 million. Adjusted EBITDA was $49 million or 11.3% of net sales and on the lower end of the adjusted EBITDA outlook of $48 million to $56 million. That compares to $54 million or 12.7% in Q4 and $60 million or 13.7% of net sales in the first quarter of 2016. Net interest expense of $8 million was flat versus Q4. Now turning to taxes. On an adjusted basis, our Q1 effective tax rate was 38.3%, which was in line with our outlook of 39%, plus or minus 2 points. That is up from our typical midpoint of 36% due to the impact of a new accounting standard pertaining to stock-based compensation. The accounting change requires differences between book and tax measures, the stock-based compensation that previously flowed through equity, to flow through the income tax provision. Our full year 2017 tax rate outlook remains unchanged at 36%, plus or minus 2 point -- 2 percentage points. However, given the known -- given known state credits that will be realized when the continuous pulp digester starts production, we would expect to finish the year at the lower end of that range. First quarter 2017 GAAP net earnings were $8 million or $0.45 per diluted share, and on an adjusted basis, $11 million or $0.64 per diluted share, which is at the low end of the outlook range of $0.62 to $0.90. That compares to adjusted net earnings of $14 million or $0.82 per diluted share in the fourth quarter and $19 million or $1.09 in the first quarter of 2016. Noncash expenses in the first quarter of 2017 included $28 million of depreciation and amortization and $1 million of net noncash pension and retiree medical expense. Employee headcount at the end of the first quarter was approximately 3,300, which included 3,100 legacy Clearwater employees, which is lower as a result of warehouse automation and the Neenah restructure, and we added 200 employees from the Manchester acquisition. Now I'll discuss the segment results. Consumer Products net sales were up -- were $242 million for the first quarter of 2017, up 12 basis points compared to the fourth quarter due to 1.3% higher retail shipment tons and 1.8% increase in converted K shipments, all that was partially offset by a 13.1% decline in nonretail shipments due to the shutdown of the 2 Neenah paper machines. Total tissue average sales price per ton improved by $43 due to a richer mix of retail K shipments. Consumer Products adjusted operating income in the first quarter of 2017 was $12 million or 5.1% of net sales versus $17 million or 7% in the fourth quarter. The decrease was the result of December curtailments and the unplanned outages as well as the previously mentioned higher input costs. As a result, CPD adjusted EBITDA of $27 million decreased 15.7% from $32 million in Q4. Adjusted EBITDA margin declined to 11.1% from 13.2% in Q4. Now turning to the Pulp and Paperboard division, net sales of $195 million for the first quarter of 2017 were up 6.4%, including the addition of Manchester, versus the fourth quarter, due to 5.5% higher volume shipments and a 77 basis point improvement in average price per ton. Pulp and Paperboard operating income for the first quarter of 2017 was $27 million or 14% of net sales as compared to $28 million or 15% of net sales in the fourth quarter. Paperboard's Q1 2017 EBITDA margin was 18.1% compared to 19.1% in the fourth quarter. Now turning to the balance sheet, capital expenditures were $41 million in the first quarter of 2017, of which $32 million was spent on strategic and other ROI positive projects. Our expected total CapEx for the year remains unchanged of approximately $250 million, of which $90 million is for strategic projects announced in 2015, $100 million is for new tissue facility in Shelby, North Carolina, and $60 million for maintenance. We had $130 million of borrowings outstanding under our revolver and $7 million for standby letters of credit at quarter end. Long-term debt outstanding on March 31, 2017, remained unchanged at $575 million. Turning to the stock buyback program. In the first quarter, we repurchased approximately 85,000 shares for $5 million under our $100 million share repurchase authorization at an average price of $57.53. That leaves approximately $30 million remaining under the authorization. With regard to our liquidity, we ended the first quarter with $16 million of unrestricted cash and we had $163 million available under the revolver. During the first quarter, we generated $46 million of cash from operating activities or 10.4% of net sales. That concludes my remarks, and I will now turn the call over to Linda Massman, who will discuss the company's outlook.
Linda Massman: Thanks, John. Hello, everyone, and thanks for joining us today. As I talk about our business, you're going to hear the news as generally positive. Today, I'll provide some additional commentary on our first quarter performance, and then I'll take a look at the market environment and what we expect for our business segments. Finally, I will tell you what we expect the second quarter to look like for us relative to Q1. First quarter performance came within our outlook, and I was especially pleased to see we generated $46 million in cash flow from operations or 10.4% of revenues. Net sales came in on the high end of our outlook. This reflected strong demand for products in both the Consumer and Pulp and Paperboard divisions, including a positive contribution from Manchester Industries acquired at the end of 2016. All other outlook metrics fell on the lower end of the ranges provided. As John explained in his comments, these results were impacted by price/mix in paperboard, unplanned outages in Las Vegas and Shelby that led to higher transportation costs to position inventory, and accelerating the implementation of advanced supply chain processes and tools. Our two main business segments performed well in the first quarter. Looking first at our Consumer Products division, business remains strong from a demand standpoint. Both retail shipments and case volumes picked up and average price per ton benefited from seasonal trends and the richer product mix of higher retail tissue sales. For the Pulp and Paperboard business, shipment volumes grew and the division shipment volumes benefited from the addition of Manchester. Demand remained solid, and our backlogs were up and in line with industry trends and tracking comfortably above levels at this time versus the last 2 years. Overall, we've made impressive advances in starting our 3-year strategic plan in 2015. Our goals were to improve our Consumer Products division operating margin by 400 to 600 basis points and to improve our overall operating efficiencies. I'm happy to say we're now in the final year of those efforts and tracking both the expected capital spend and results in EBITDA benefits. The accumulative contribution is a $62 million annual run rate through the first quarter of 2017. The continuous pulp digester project is nearing the home stretch. The major vessels are completed and the platforms and towers are under construction. Steel piping and tie-ins of the new digester to the existing mill are underway. Start-up remains on track for early fourth quarter. We're also right on track with warehouse automation. We now have 3 of the 4 installations completed, with Shelby, Las Vegas and Lewiston up and running. The annual run rate contribution EBITDA through Q1 was $14 million. The remaining installation at our Elwood, Illinois facility is scheduled for completion in the third quarter. We have modified the mix of our strategic initiatives slightly by scaling back some of our warehouse automation plans, but increasing our operational efficiencies. This will result in lower capital dollar spent while maintaining our expected savings. We scaled back our automation plans primarily due to 3 factors: first, the closure of OKC; second, we decided to forgo implementation in Neenah due to expected low returns on investment; and third, we reduced the scope of automation in Lewiston due to physical limitations at the facility. In Lewiston, we determined there wasn't enough space to handle the parent rolls through automation without significant capital investments. The bottom line is we expect to spend approximately $6 million to $10 million less in capital, but expect to generate the original consolidated EBITDA improvement of $115 million to $145 million. We reflect the details of these changes on Slide 7 of the supplemental presentation on our website. Regarding our new tissue machine and warehouse project in Shelby, North Carolina, the permitting process is nearly complete. We have finalized selections of our key partners, and we are currently working on the public infrastructure requirements with the City of Shelby in Cleveland County. I'm encouraged by our overall progress against our 3-year strategy. Let's turn our attention now to my second topic, the market environment and our outlook for both business segments. Starting with Consumer Products. The IRI data as of Q1 tells us that the total U.S. tissue market measured in dollar sales was up 1.3% compared to Q4 '16. The brands grew 1.5% in the first quarter and outpaced private label, which declined modestly by 20 basis points. We believe this decline was primarily because of increased branded, digital and in-store promotional activity. Private label market share remained at approximately 25% of total tissue, according to IRI. And Clearwater Paper share of private label was flat, with 2016 at approximately 33%. Our ad tracking service indicated that traditional promotional print ads by the brands remained flat quarter-over-quarter, but we believe this was augmented with digital and in-store promotions, which drove growth for the brands in Q1. Competitive pressures in non-Ultra-quality tissue persist, so we will continue to focus on what we do best, delivering superior product quality and excellent customer service. We believe these are the key factors that differentiate us from the competition. The most current RISI forecast for net new North American tissue capacity through 2019 is 976,000 tons. If the total capacity comes online as scheduled, RISI estimates that the North American demand capacity ratio through 2019 will be 97%, which is indicative of a balanced supply and demand environment in 2019. This does not factor in imports. Turning to our Pulp and Paperboard business. The market environment for North American paperboard is equally encouraging. RISI's outlook for 2017 is for a balanced market, with operating rates averaging 94% in 2017. On a year-to-date basis, American Forest & Paper Association is reporting a 97.7% operating rate compared to 93.9% for the same period last year. The SBS operating rate increased significantly in February and continued into March. Since the beginning of the year, order backlogs reported by AF&PA are up 25%. Backlog levels had dips in the back half of 2016, we're recovering in 2017. According to RISI, the outlook for 2017 U.S. export volumes of down 4.2% is slightly weaker as compared to their December 2016 forecast of down 3.7%. However, on a year-to-date basis, the AF&PA has reported a 6.1% increase in exports compared to a 1.3% increase in exports for the same period last year. RISI's outlook for imports of competing substrates remained flat. We recently announced new SBS price increase and are still in the very early stages of working with our customers on implementation. And additionally, one of our paperboard customers announced their agreement to be acquired by a competitor, which can impact our volumes and mix for the year. With this market environment in mind, let's turn to my final topic today, our second quarter outlook compared to Q1. Compared to first quarter, we expect consolidated net sales to be flat to up 1% sequentially, primarily due to improved paperboard product mix. We're projecting our consolidated adjusted operating margin for Q2 to be in the range of 4% to 5.5% based on 5 primary factors: scheduled major maintenance at our Cypress Bend, Arkansas mill is expected to be in the range of $8 million to $9 million. In addition, we plan to pull into Q2 from Q3 approximately $1 million to $2 million of scheduled maintenance expense at the Lewiston, Idaho mill to alleviate any bottlenecks related to the start-up of the continuous pulp digester in the fourth quarter. Some cost headwinds include increased input costs for pulp and chemical. Net positives to the quarter include $2 million to $3 million of incremental productivity gains and the absence of higher beginning inventory unit costs. We're assuming an adjusted tax rate of 34%, plus or minus 2 percentage points. Our Q2 projections result in an adjusted EBITDA in the range of $42 million to $48 million and adjusted net earnings per fully diluted share in the range of $0.44 to $0.63. The key variables we see determining where we land in that range are paperboard market conditions, brand promotional activities and changes in customer and consumer demand. At this point, we are maintaining the full year outlook that we provided on our fourth quarter 2016 earnings call, based on the input costs of marketing industry data we used when we provided the outlook of $205 million to $225 million. The 2 major factors that could impact that are the outcome of our announced paperboard price increase and, two, how the announced pending acquisition of a customer impacts paperboard volume and mix. It's too early to fully assess those impacts, but we will provide an update to you on our Q2 earnings call. This is an exciting time for all of us at Clearwater Paper. We continue to energetically execute our strategic initiatives as laid out through 2017, and we're also beginning the important work on the construction of a new paper machine converting lines and warehouse expansion in Shelby, North Carolina. We're making powerful progress, and that's inspiring. And beyond the highlights and positive forecast, important as those are, the most inspiring thing about working at Clearwater Paper for me continues to be our people. Our employees are the reason for our strong performance and they give me great confidence in our ability to continue improving our performance and results. Thank you for listening to the prepared remarks, and we'd like to now take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Adam Josephson with KeyBanc.
Adam Josephson: Linda or John, one question about the quarter. So the -- correct me if I'm wrong, but the unplanned outage in Las Vegas, that was obviously in the fourth quarter, as were the planned production curtailments, those were in December, so presumably, you're aware of all that in early February, right, when you gave the EBITDA guidance of $48 million to $56 million. And so why would any of that -- I realized you had another unplanned outage. But for those other factors, you're likely were well aware of when you gave the guidance. I'm just a bit confused there.
John Hertz: Yes, the planned curtailments was factored into the guidance range that we gave for Q1. It wasn't known -- or the impacts of which was the Shelby outage, and maybe kind of the final straw, caused us to -- have to do kind of unnatural acts from a transportation standpoint to service all our customers with inventory.
Adam Josephson: And remind me what outage expense you're expecting in 3Q compared to the $9 million to $10 million in 2Q?
John Hertz: So typically, Lewiston is going to be, call it, $17 million to $19 million.
Adam Josephson: So you'll have...
John Hertz: That's all in, including lost shipments.
Adam Josephson: So that's your cumulative expense for the year. Is that what you're saying?
John Hertz: Yes, and that's direct expenses plus, I guess, lost sales.
Adam Josephson: Okay. So your maintenance outage will be flattish sequentially in the 3Q. Is that right, roughly?
John Hertz: No, we're going to be about $8 million to $9 million in third quarter for the Arkansas shutdown in the second quarter.
Adam Josephson: In addition -- so okay, your maintenance outage is going up $9 million to $10 million in 2Q sequentially, right?
John Hertz: Yes.
Adam Josephson: And then in 3Q?
John Hertz: So sequentially then, there will be an incremental $7 million or $8 million.
Adam Josephson: So all else equally, you'd be down sequentially in 3Q from the $45 million at the midpoint to which you're guiding for 2Q, right?
John Hertz: Everything else equal.
Adam Josephson: Okay. Just -- so it would take -- it seems like a huge fourth quarter to get to your full year guidance, correct me if I'm wrong there.
John Hertz: Yes. And like I said, as far as Linda said, we've got the price increase out there. We'll see how that plays out in the marketplace. And then the impact of a customer that was acquired in -- how that ends up impacting us. So those are the 2Q variables as to whether we're able to get in that range.
Adam Josephson: And to that point, John, I mean, what is your contingency plan for those tons?
John Hertz: I think we're less worried about the volume than we are about the mix. I think if we get into kind of play great and stuff like that, we think we can feel pretty comfortable we can find a home court, but that's not necessarily where we want to.
Adam Josephson: Right, right. Okay. Now what were your organic paperboard volumes up or down in the quarter year-on-year?
John Hertz: By organic, you mean without Manchester?
Adam Josephson: Correct.
John Hertz: So we're flattish.
Adam Josephson: You're flattish. Okay. And would it be fair to assume you'd expect flattish SBS demand for the year?
John Hertz: Well, typically, SBS is, from a seasonal standpoint, lower in Q4 and Q1 and higher in Q2 and Q3. For the last couple of years, we've seen stronger Q4s than we have in the history. We would expect to see volumes, and I'll call it pre-acquisition volumes, to creep slightly. I mean, we do get some creep in production each year out of the paper machines.
Adam Josephson: Right. So presuming your SBS volume is roughly flat for the year, right, just -- and that's where the markets been in years' past, right. It's roughly flat. Can you just help me with why your backlogs and industry backlogs would have so sharply increased year-to-date, particularly when I keep reading about how weak CPG demand has been year-to-date? I'm struggling to understand why backlogs would be up 25% year-to-date given flat demand or seemingly flat demand.
Linda Massman: Yes, so Adam, don't know the exact reason for that, but I think what we would attribute it to, more likely than not, is maybe some of the CPG demand is a little bit more back-looking versus the backlogs that we're seeing are more forward-looking, because we saw how to produce the product, ship it, get through their supply chain. And so I think that would be the primary reason.
Adam Josephson: But if you're saying, Linda, that SBS demand is going to be flattish for the year, it doesn't sound like there's going to be -- you're expecting some huge acceleration in growth rates in the latter part of the year, right? I'm just trying to understand if the market is fundamentally flat, why would backlog be so sharply accelerating? I just am struggling to understand that.
Linda Massman: I think with regard to -- we are currently producing and selling everything we produce. So that's part of the reason why the demand is expected to be flat and backlogs are indicative of what the market demand is.
Adam Josephson: Okay. And now on your call -- the fourth quarter call, you guys characterized SBS market conditions as challenging, right, and that was early February. And then about a month later, obviously, announced a price increase. So can you help me with what would have so dramatically changed over the course of a month? It just seems odd to go from challenging market conditions to a price increase a month later.
Linda Massman: Yes. So again, it surprised us too when we saw kind of a little dip down in February and then March came back pretty strong, and we saw some good improvements in backlog since mid-February. That surprised us a little bit as well. And then, of course, it just takes a little bit of that demand to kind of make a decent change in the industry. And for that reason, we decided to implement the price increase as well...
Adam Josephson: Right, sure. And so this is based on supply/demand, not cost inflation, this SBS increase, should I assume?
Linda Massman: It's both. I mean, we're seeing cost increase as well.
Adam Josephson: Where exactly?
Linda Massman: In wood fibers, in particular, chemicals, energy. Energy was more seasonal, but definitely in chemicals and in wood fiber.
Adam Josephson: Okay. And just one last one, I'll get back. The investment in your tissue business that you announced last quarter obviously took investors by surprise. And you obviously saw it in the stocks subsequent to your earnings release. I mean, are you -- you've had about significant operational improvements in that business over the last couple of years, but those have been largely offset by pricing pressure, right? What gives you confidence that continued operational improvements in that business will not continue to be largely, if not entirely, offset by continued industry pricing pressure?
Linda Massman: Yes. So we did announce the tissue machine last quarter and we talked about why it was important for us with regard to our customers were asking for ultra and premium capacity. We're currently out of that capacity or selling everything we make with regard to that capacity. So adding capacity was important for us and the ability to be able to meet the demands of our customers. And there currently isn't any available for purchase. So in order to continue to meet the consumer demand, that's important. I think it's probably pretty prudent to expect continued price pressure in conventional tissue. We've seen it historically, continues to happen, definitely more weakness on the economy and value side than on the premium and ultra-premium side of the business. We do see on the premium and the ultra-premium segment the demand for that part of the business and that tissue is growing pretty substantially. It is forecasted to grow 4% to 5% per year. Since 2012, it's grown 3.5 times faster than the overall tissue market. And currently, you can't get that kind of paper today on the marketplace. And back in 2015, I think you've alluded to this, when we introduced our strategic initiatives, which we lay out on our deck, we talked about we're going to focus on the variables of our business that we can control, and we laid out a number of improvement efficiencies at which we're delivering on. We're very confident we'll deliver on them through the balance of the year. And we're going to continue to ways -- look for ways to become more efficient and to meet our needs of our customers with good product quality and good service metrics.
Operator: Our next question comes from Chip Dillon with Vertical Research.
Clyde Dillon: Yes. First question has to do with the just thinking about the buyback you made in the first quarter. At least on our estimates, it looks like you guys are going to be borrowing -- assuming that you have, for solid operations this year or next year, probably upwards of $10 a share, I guess, $150 million, $160 million above and beyond your cash flow to finance the end of the 2015-ish, and the Shelby machine, and I just didn't know if you thought it was a good idea to keep buying back stock given the heavy CapEx ahead of us?
John Hertz: Well, I mean, if you look back into our history over the last 3 or 4 years, we significantly have ratcheted back the, I guess, call it, the run rate of our stock buyback. So we think it's important to continue to nip at that a little bit, but we've obviously taken that back from kind of trajectory we're on over the last 3 or 4 years, but largely for the reasons you've just articulated.
Clyde Dillon: Okay. And then just to make sure I understand the maintenance pattern. You mentioned it would be $9 million to $10 million higher in the second quarter. And did you say it would go up again in the third quarter above the second quarter level or stay at the second quarter level in the third quarter?
John Hertz: Yes. So I've got to be careful here because if you just focus on the major maintenances and ignore -- we've got lots of other maintenance that occurs that is not major maintenance. But if you just focus on the major maintenance, we're going from the $8 million to $9 million spend for Arkansas in Q2 to, call it, a $17 million, $18 million spend in Q3. But that's not -- I mean, we do kind of balance the rest of our maintenance spend. So on a total maintenance envelope, you're probably not going to see a $7 million to $8 million increase.
Clyde Dillon: Okay. But the point is the maintenance should come way down in the fourth quarter, like the sequential drop-off could be $15 million or so. Is that fair?
John Hertz: At least, yes.
Clyde Dillon: Okay. So it's going to come way down. Okay, got you.
John Hertz: And then the other thing, Chip, is I think we've said this before, but so to make sure you're aware. In 2018, the way the different -- the schedule lines up for major maintenance, we won't have any in 2018.
Clyde Dillon: So basically, this year, it looks like the total all-in is like, and maybe you said and I just missed it, it's like $25-ish million for the year and next year is 0. Is that the way to think about it?
John Hertz: Correct.
Linda Massman: Right.
Clyde Dillon: Okay, that's very helpful. Okay. And then as you think about the tissue markets -- or let me ask you this, 2 questions about last question -- 2 parts is, when you think about the Shelby machine, is there a point at which you kind of are off the diving board up in the air meaning that you -- have you -- are you absolutely fully committed at this point to having to build it this year or next year? Or just hypothetically, could it to be pulled back up to some point? And then, I guess, the second thing is, just talk a little bit about how you see the competitive marketplace, just given that there are others out there with TAD and similar type quality machines in the process -- I guess, I don't know if the quality is as good as yours, but at least they're purporting to be good quality, aimed at the private label market in the United States, and if that's really any issue for you at this point?
John Hertz: Well, I would say with regard to the first part of the question, we're probably off the diving board in the air. Linda, do you agree with that?
Linda Massman: Yes.
John Hertz: With regard to the second part of your question, I mean, if you look at RISI's list of announced paper machines that could give you a little bit of pause. But as Linda articulated it when you break the market down between traditional, conventional and ultra-premium, ultra-premium has grown, I guess, they forecast...
Linda Massman: 4% to 5%.
John Hertz: 4% to 5%, at least 3 times historical, and the fact that you -- we can't go out and buy ultra-premium parent rolls, and we're very tight, and so those market dynamics, I think, allow for that capacity. And as you look out through the next couple of years, well, like I said, when you look at RISI, you might take a pause. I think we'll probably get through it okay.
Operator: Our next question comes from Paul Quinn with RBC Capital Markets.
Paul Quinn: Yes. Just a little bit mystified like Adam on the paperboard side, just with the reversal, and I guess the strength you're seeing now in the marketplace. Is that -- and I sort of heard some of the comments, which you refer to the export tonnage that would seemed up. Is that one of the sort of key metrics or key variables that has changed the market overall?
John Hertz: Yes, the export is going up definitely and backlog is going up.
Linda Massman: Import seems flat.
Paul Quinn: But that export is industry, that's not you guys. You're not a big export player, right?
John Hertz: Yes. All of our exports go to Japan and it's pretty much consistently 10% or so of our total shipments.
Paul Quinn: Okay. And then just on the cost side, didn't see a lot of cost pressure from rising pulp prices. Is that -- do we expect that to be lagged into Q2 with less pricing coming up?
John Hertz: Yes, yes.
Paul Quinn: How material will that be in Q2?
John Hertz: I think it's going to be about a $1 million to $2 million impact on the tissue side of the business.
Paul Quinn: Okay. And just on the tissue side, with the brands holding steady on market share in Q1, anything that you can do that changes that dynamic going forward? I mean, obviously, it looks like they're higher in the digital and online -- or in-store promotions. Is that something that you guys can take advantage of or change some of your marketing attributes?
Linda Massman: Yes, we work with our customers to be able to provide promotions. And of course, we'd have to rely on their network to be able to do that since we're not a branded player. We're a store brand, so we have to rely on how they deliver store brand coupons, promotions, et cetera. But yes, we absolutely work with them on the same ideas.
John Hertz: We've had 2 of our larger customers who clearly kind of have grown their private label component versus the brands. So that's encouraging for a couple of our bigger customers, just kind of sweeping in the whole market, I guess.
Paul Quinn: Yes. I'm just trying to get the bigger picture that I've covered you for a while now and it seemed like you're making great gains. The whole private label industry was making great gains in the early years. And now it seems like you're stalled out. Is that what you expect going forward? Or do expect now to be able to accelerate your penetration?
John Hertz: Yes. I mean, we definitely think, long term, it continues to go up. And I guess a little pause here, but we're optimistic that we start to rise again.
Operator: Our next question comes from [Indiscernible].
Unidentified Analyst: Just a couple of questions. First, just staying on tissue. And this is obviously longer term in nature. But obviously, the ultra-premium category is doing nicely. Do you think that once Shelby 2 is done, you're going to be able to maybe produce more ultra-premium relative to what you do now? Or is it going to kind of remain the same balance with the premium?
John Hertz: Yes. No, that'll be -- particularly for bathroom tissue ultra-premium, and we think we'll get there with towels as well by the time Shelby goes live. Our anticipation we'd probably -- we'll be able to do both kind of traditional conventional as well as ultra-premium. So it gives us that flexibility, but our expectation would be weighted much more towards the ultra-premium.
Unidentified Analyst: Okay. I mean, that's helpful. I think some of the concern I hear from investors is that there's a lot of capacity coming online. I get that. That is kind of causes some fear at the beginning, but you also said the industry is supposed to stay at a 97% operating rate, right? And historically, RISI has been pretty spot on with those forecasts. I guess what I'm asking is some of this other capacity coming online, are they also going to be able to do a large chunk of ultra-premium tissue they wanted to?
John Hertz: Yes. A lot of the capacity is either TAD or NTT, which both of those give you the ability to do the ultra-premium. There is a portion of it that's traditional conventional as well though.
Unidentified Analyst: Okay, okay, good to know. And then just on the -- I think you said tax rate, there might be an ability for you at the lower end of your guidance from a credit -- I'm sorry if I missed it, what quarter would you expect that or to drop?
John Hertz: That will be in third quarter. It's tied to going live on our continuous digester in Lewiston.
Unidentified Analyst: Third quarter, okay, that's good. And then I guess the customer that was acquired, I think we all know who you were speaking about. What do you have to wait a little more to have more visibility on that? I think that acquisition was announced around the last time you reported. So I'm just trying to figure out what you need to see.
John Hertz: So I guess, first of all, we have to see whether it actually closes or not. Second of all, we have to see, they were acquired by a competitor of ours, how much of the capacity that our customers are buying. Do they take internal? And then after that, we have to figure out if they do, do that, where our capacity lands, whether it's the folding carton or plate, folding cartoner will be positive, plate would be probably worse from a mix standpoint.
Unidentified Analyst: Okay, okay. And then you said folding cartoner, so is this the Manchester that's supposed to help your, let's I call it, I don't know, folding carton footprint? Is that -- do you guys feel comfortable with that sort of outlook?
John Hertz: Yes.
Linda Massman: Yes.
Unidentified Analyst: Okay. And then, just one last one, sorry. You said you had a customer that's been increasing the amount of private label. Is that on the grocery side, if you can comment on that?
John Hertz: Yes, on grocery side.
Operator: [Operator Instructions] Our next question comes from the line of James Armstrong with Armstrong Investment Research.
James Armstrong: If you want to answer the last one before I ask, go ahead.
John Hertz: You guys didn't hear it?
James Armstrong: Oh, no. There was a siren. We couldn't hear it. I apologize.
John Hertz: Yes, just go ahead.
James Armstrong: Okay. The first one was, how big was the impact from the inventory positioning in the first quarter? I'm just trying to gauge that magnitude. And do you think this will reverse in the second quarter?
John Hertz: Yes. So it's about $5 million-ish, and we would reverse in the second quarter.
James Armstrong: Okay, perfect.
John Hertz: Wait, I answered the wrong question. You mean the transportation incremental costs?
Linda Massman: Yes.
James Armstrong: Yes.
John Hertz: Okay. That's about $1 million, and it should reverse itself.
James Armstrong: Okay, perfect. Just to make sure. And second, corporate costs were down a whole lot. Is that a sustainable level? Or was it just related to just the quarter and likely will go back to previous levels?
John Hertz: I think they're pretty flat.
Linda Massman: They're flat, yes.
James Armstrong: Okay. Oh yes, adjusted -- okay, fair enough.
John Hertz: If you're looking at GAAP, James, it has the mark-to-market impact of the Board of Directors stock units, and those -- since the stock price went down, you see a benefit come through.
James Armstrong: Okay. That's what the differential is. So it's whatever happens to the stock, fair enough. And then, lastly, in -- for the quarter, what do you think the major factor is in the second quarter between the high end and the low end of the guidance?
John Hertz: I'm kind of broken record here, probably paperboard pricing.
Operator: Ladies and gentlemen, that does conclude our question-and-answer session. At this time, I will turn the call over to Ms. Massman for any closing or additional remarks.
Linda Massman: Thank you for joining us today and for your continued interest in Clearwater Paper. On a final note, we'll be at the following conferences in the second quarter. We'll be at Goldman Sachs Leveraged Finance Conference in Palos Verdes, California. We'll also be at Deutsche Bank's Industrials and Materials Summit in Chicago and Citibank's Small and Mid-Cap Conference in New York. We hope to see you all there.
Operator: Ladies and gentlemen, that does conclude the Clearwater Paper first quarter 2017 earnings conference call. We do appreciate your participation.